Operator: Good afternoon and welcome to the Texas Capital Bancshares First Quarter 2016 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Heather Worley. Please go ahead.
Heather Worley: Thank you for joining us for the Texas Capital Bancshares first quarter earnings conference call. I am Heather Worley, Director of Investor Relations. Should you have any follow-up questions, please call me directly at 214-932-6646. Before we get into our discussion today, I would like to read the following statement. Certain matters discussed within or in connection with these materials may contain forward-looking statements as defined in federal securities laws, which are subject to risks and uncertainties and are based on Texas Capital’s current estimates or expectations of future events or future results. These statements are not historical in nature and can generally be identified by such words as believe, expect, estimate, anticipate, plan, may, will, intend and similar expressions. A number of factors, many of which are beyond our control, could cause actual results to differ materially from future results expressed or implied by such forward-looking statements. These risks and uncertainties include, but are not limited to, the credit quality of our loan portfolio, general economic conditions in the United States and in our markets including the continued impact on our customers from declines and volatility in oil and gas prices, rates of default or loan losses, volatility in the mortgage industry, the success or failure of our business strategies, future financial performance, future growth and earnings, the appropriateness of our allowance for loan losses and provision for credit losses, the impact of increased regulatory requirements and legislative changes in our business, increased competition, interest rate risk, the success or failure of new lines of business and new product or service offerings in the impact of new technology. These and other factors that could cause results to differ materially from those described in the forward-looking statements as well as the discussion of risks and uncertainties that may affect our business can be found in our Annual Report on Form 10-K and in other filings we make with the Securities and Exchange Commission. Forward-looking statements speak only as of the date of this presentation. Texas Capital is under no obligation and expressly disclaims any obligation to update, alter or revise these forward-looking statements whether as a result of new information, future events or otherwise. With me on the call today are Keith Cargill, President and CEO and Peter Bartholow, CFO and COO. After a few prepared remarks, our operator, Amy, will facilitate a Q&A session. At this time, I will turn the call over to Keith who will begin on Slide 3 of the webcast. Keith?
Keith Cargill: Thank you, Heather. Welcome to our first quarter earnings call. As Heather mentioned, I am Keith Cargill, President and CEO of Texas Capital Bancshares. Following my opening remarks, Peter Bartholow, our CFO and Chief Operating Officer, will offer his assessment of results and our guidance update. Then I will close before opening for Q&A. The first quarter of 2016 was solid by most measures. If not for the elevated loan loss provision, earnings would have been $0.68 per share. I will speak in some detail about the relative health of our energy portfolio and energy loan loss reserve as compared to other energy banks. The decision to post this frontloaded provision in the first quarter of 2016 does not change the previous guidance offered on January 20 for the full year 2016 provision. Core traditional LHI, excluding mortgage finance, grew 12% year-over-year and 3% linked quarter. However, loan fees were weak in Q1 on a linked quarter basis. Q1 mortgage finance outstandings were flat on average following the market share improvement throughout 2015. The relatively new MCA business showed balances increasing in line with our plan and guidance. Expected seasonal effects in escrow balances resulted in a small reduction in DDA and total deposits. Texas Capital experienced solid net revenue growth, with continued strong operating leverage. The increase in interest rates late in the fourth quarter of 2015 generated approximately $4 million in Q1 2016 net revenue. MCA, or the Mortgage Correspondent Aggregation business, will offer both an increasing contribution to earnings in Q3 and Q4 as well as a growing capital efficient asset class for our company. Credit quality remains acceptable despite continued energy loan migration in the criticized and non-performing categories. We addressed the weakening in commodity prices, including natural gas, with internal downgrades and SNC exam downgrades by increasing our reserve attributed to energy by $19.5 million linked quarter. Because of the high concentration of E&P and minimal exposure to energy services, the increased provision was primarily a function of commodity price declines on future net revenue values and related borrowing bases, combined with somewhat more prescriptive regulatory guidance in determining loan classification as we learned from the recent OCC Shared National Credit exam. Specific to the SNC exam, over 80% of our energy SNC loans were examined resulting in only 4 loans being downgraded. These downgrades totaled $70.9 million or only 16% of the energy SNC book. No charge-offs resulted from the SNC exam. While the spring re-determinations are underway, we are a few weeks away from completion. With commodity prices lower than last fall, borrowing base availability will decline. After reviewing our energy book, unfunded commitments are less than $10 million related to loans currently criticized. On Slides 4 and Slide 5, we have updated our energy portfolio characteristics and trends. Outstanding energy loans now make up slightly over 6% of total loans as the energy portfolio contracts while non-energy loans continue to grow. At quarter end, total energy reserves are approximately $51.5 million or 5% of energy loans outstanding after incurring $5.9 million of energy charge-offs during the quarter. Non-accrual energy loans increased $20.9 million linked quarter. Criticized energy loans increased to just 21% from 17% of energy loans in the fourth quarter. Total criticized energy loans equals $229 million. The energy loan loss reserve now equals 23% of criticized energy loans. We believe these statistics compare most favorably to other results posted by banks serving the energy sector. Next, let’s review the other 94% of our business, beginning with Slide 6. Houston footprint CRE remains approximately 4% of total loans held for investment. We continue to find no slippage in credit quality in this category. The only criticized loan remains special mention and is slightly reduced in size to $9.1 million. On Slide 7, we show Texas Capital Bank loans and deposits broken down by Texas regions and national business. Because we have succeeded in developing four lending businesses and multiple depository businesses and the national footprint businesses, we now have over 50% of loan exposure and similar deposit diversification outside of Texas by customer and collateral providing significant geographic diversification. Peter?
Peter Bartholow: Thank you, Keith. In the first quarter, the company produced net income of $25 million and EPS of $0.49. As Keith has addressed, the increase in provision to $30 million was obviously a key factor in results for the quarter. Growth in traditional LHI loans and total MFL loan balances, including MCA, represented meaningful improvements in market position relative to peers. MCA is on track in building average balances provided in the previous guidance, year-over-year increase in net interest income and net revenue of 11% and 10%, respectively. Net interest income and net revenue increased from Q4 by almost 2% in both cases. Consistent with plan and guidance, MCA loss decreased slightly from $0.04 in the fourth quarter to $0.03 in Q1 and MCA is now entering a period where we expect meaningful build in volumes over the course of 2016. As Keith mentioned, total deposits fell about 1% due to seasonal mortgage finance escrow balance contraction. Those are balances for taxes and insurance payments. The reduction in deposits was offset by a linked quarter reduction in liquidity assets with a favorable impact on NIM. We saw year-over-year growth in DDA of 20%, representing almost the same dollar amount of total growth in traditional held for investment loans. In terms of NIM review, we saw improved core yield on traditional LHI and mortgage finance loans due to the December rate increase. The pickup in the quarter was just over $4.5 million and is consistent with expectations. We saw a reduction in fees incorporated in yield from the fourth quarter. We saw stability throughout 2015 in this category in both dollars and yield impact, with the seasonal decrease in Q1 resulting from reduction in syndication activity and new commitments on CRE. Yield trends have actually remained quite favorable especially given the magnitude of our growth and the competitive environment that still remains very intense. As noted, we experienced growth of 2% in average traditional held for loan – held for investment loan balances, up from Q4 2015 and 13% year-over-year. Again, that solid growth consistent with the guidance despite the high level of pay down activity, we still experienced and declining contributions to growth from CRE and energy. Total energy loans decreased by $100 million at quarter end compared to year end 2015. And for the last half of ‘16, we expect further reduction in the rate of growth and the contribution of rate of growth from CRE, including builder finance and energy. Our mortgage finance business clearly benefits from Texas Capital’s position in this important business sector. The balances remained high with significant $1.3 billion spike at the end of March, average balances were matched from Q4 of $3.7 billion, well ahead of industry trends. Part of making room for the growth in MCA at quarter end, participations were $515 million compared to $455 million at year end 2015 with an increase in commitments to $825 million at quarter end compared to $719 million at the end of 2015. Consistent with the past mortgage finance loans represented 24% of average total loans for the quarter and average participation balances were flat linked quarter. MCA balances grow to $124 million, again consistent with the guidance provided in January and on a path to higher average balances in coming quarters. With MCA, the total average for all mortgage finance lending activity was up 4% from Q4 with a small improvement in the capital efficiency associated with MCA. On Slide 8, you see the benefit of the Fed rate increase whilst as anticipated, a meaningful contributor to net interest income. We saw an increase in net interest income of $2.6 million and 12 basis points in NIM. Linked quarter NIM increased after a $3.3 million or 7 basis point reduction in the fee component of NII and NIM and offsetting the benefit of the results in liquidity assets. Funding costs remain highly favorable and we believe duration will continue to increase with relatively low deposit beta because of deposit composition. On Slide 11, component – we have described the components of the increase, where in this case decreased in net interest income – excuse me, net interest expense from Q4. The MCA loss, as I said $0.03 a share compared to $0.04 in Q4, we had flat NIE from Q4 ‘15 mostly as a result of the reduced cost of 123R expense. The efficiency ratio actually declined slightly, with the flat expense and growth in net revenue and it remains consistent with the guidance that anticipates improvement in the last half of 2016. Slide 12, the quarterly highlights obviously reflect the effects of higher provision on ROE and ROA all other measures are consistent with the guidance. On Slide 14 and our 2016 outlook, we still believe traditional LHI balances will grow as indicated based on review of market conditions in all of our lines of business. It does, as I said reflect planned production in growth rates for CRE and the contraction in energy loans. We see a continuation of relatively high level pay down over the course of 2016. We expect growth in mortgage finance loans, excluding MCA to remain modest. It remains too difficult to estimate potential benefit from the flattening yield curve and the strength that we saw in Q1 reflects the improvement in refinancing activity that may not be sustainable, but we are entering a more productive Q2 and Q3. MCA balances for the year remain, we expect to be exceed $300 million on average balances. Customer acceptance rates are high, trade impact is declining and we expect a meaningful ramp in balances. We see a broader product opportunity will improve yields, and we will factor into net revenue and net interest expense – non-interest expense guidance that are already provided. We still anticipate becoming profitable on a monthly basis in the second quarter and being profitable for the full year based on the contributions in the last half of 2016. Deposit growth will continue, but as we have indicated at a lower pace, still building on average over the course of the year a small increase in liquidity balances. On a net revenue basis, we still see mid to high-teens based on ramp in MCA, good growth in loans and a benefit from the rate increase that we saw in December. In terms of year-over-year comparisons, we obviously are aided by contributions from MCA that were negligible in 2015. We also expect a return to improvement in added swap revenues and syndication fees to be reflected in the latter case in NIM for the last three quarters. NIM was higher than guidance, net of the effect of liquidity, adjusted just over 3.6%. We do reflect still an increase in the guidance because of the Fed rate increase and adjusted for the liquidity levels, they should be comfortably within that range or better. We do see a smaller composition in mortgage finance loans to the total, which will also help and the pricing competition in C&I is still intense, but incremental pressure on yields seems to have abated to some degree. We have maintained guidance on the efficiency ratio in the mid-50s and comparable 2015. As Steve mentioned, we see no change in the guidance on provision and net charge-offs at this time. Provision in the mid-60s range, even with the Q1 provision of $30 million, an increase in the allowance for loan loss of almost $23 million seems to be satisfactory for the remainder of the year. Guidance given at the end of the quarter fully anticipated exposure to end credit migration and actually – that was actually experienced in Q1. Net charge-offs in Q1 were 25 basis points consistent with our full year outlook and of that 20 basis points was from energy. We believe the methodology is driving reserve – that drives our reserve to more than $50 million should cover identified exposure to net loss even in a more stressed environment. The SNC exam, as Keith mentioned was a factor in Q1, but it was more driven by forward commodity prices and internal grade changes. It’s not surprising if the first half would bear most of the provision expense given the profile of the forward curve that we experienced this quarter. In response, I would suggest also that with the remaining use of provision that might be $6 million for growth in traditional held-for-investment balances, it still produces another $30 plus million in reserves that’s available to deal with other unforeseen changes and conditions. Keith?
Keith Cargill: Thank you, Peter. Slide 14 highlights our asset quality metrics. Of the $190 million in non-performing assets, energy makes up $141 million or 74%. Energy NPAs increased $21 million linked quarter, although total NPAs increased by only $10 million. Net charge-offs totaled $7.4 million with the energy charge-offs of $5.9 million, comprising 80% of the total charge-offs. With our frontloaded provision in Q1, we believe we are well reserved overall. The Q1 provision allowed us to build an energy designated reserve of 5% of total energy loans and 23% of criticized energy loans. Our criticized energy loans increased from 17% of total energy loans to only 21%. These criticized percentages, we believe compared quite favorably against other energy banks. With Slide 15, I will close traditional LHI growth for Q1 was strong at 3% linked quarter. We believe that we continue to manage our energy portfolio fully engaged with the clients and conservatively addressing loan migration and energy reserve build in line with our somewhat healthier energy portfolio. Although the first quarter provision was elevated from Q4 2015, we are not changing full year guidance for provision or net charge-offs. Energy portfolio migration increased criticized energy loans of 21%, but this percentage, as I mentioned, compares favorably against others in the energy sector. We remain asset sensitive, future rate increases will translate into even more favorable lift in income since the Q4 rate increase essentially overcame a meaningful component of our loans with floors. The relatively new MCA business is building as planned and will be a positive contributor to earnings and return on equity during the last half of 2016. MCA’s much improved capital efficiency as compared to traditional mortgage finance loans sets up for strong growth in this new high-growth asset class, but consumes far less capital to fuel the growth. Texas Capital Bank continues to build the stronger C&I growth capability with the expansion of our franchise finance footprint and continued talent acquisition. At this time, I will open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Ebrahim Poonawala of Bank of America Merrill Lynch.
Ebrahim Poonawala: Good afternoon, guys.
Keith Cargill: Hello, Ebrahim.
Ebrahim Poonawala: I think, Keith, if you can just start off on energy and sort of your provisioning this quarter. As we look out for your full year guidance for mid-60s, how are you thinking about sort of, one, the outlook for oil prices and migration within your own book, which gives you comfort around that mid-60s full year guidance? I am just trying to lot of understand whether you – when you gave this guidance in Jan, you did anticipate it being so 1Q heavy or did that change over the course of the quarter? And what is the downside risk to that forecast as we look out for the next few quarters?
Keith Cargill: We felt and still do that we were adequately reserved at the end of the year, Ebrahim. What changed were two things primarily the shift in the forward curve and what that did is we reset price decks and assumptions and reran our future net revenue valuations on the portfolio. And secondly, what we learned going through the SNC exam that we have begun to apply across the portfolio and that’s new guidance that is somewhat more prescriptive from the regulators and we have used in the past. And that combination of those two things caused us to go ahead and decide that while the year guidance does still look solid to us on provisioning, we should go ahead and address this first quarter and be sure that we can represent we are adequately reserved in this environment with the prices and so on. So, we are not presuming any prices getting better. We look at the forward curve. We don’t speculate on our price deck assumptions and all. And because it’s so quantitative and how we drive valuations, that’s really what drove the reserve.
Ebrahim Poonawala: Understood. And I guess as you look at sort of the non-energy book and then tie that into the provisioning guidance, what’s the sense right now when you look across your markets? Are we seeing the pressure points where we start seeing the contagion from energy flowing into the rest of the portfolio or you are not seeing those signs yet?
Keith Cargill: You would think if you are going to see that leakage, it would be first in Houston CRE real estate. And we presented that slide that we have provided the last couple of quarters that shows that footprint is actually no different. I mean, it’s slightly better. I mean, the loan that we had a special mention for $9.3 million or $9.4 million a quarter ago is still at $9.1 million still special mention and that’s out of a total in that footprint of over $700 million of CRE. As far as C&I leakage from the oil and gas decline, we are not seeing that yet. I mean, it’s not that we don’t have from time to time a C&I credit that have some issues, but we are not seeing it related as a direct function of what’s happening in the oil patch. It’s typically something to do with management decisions or a strategy that is not being kept up-to-date. So thus far, perhaps because we have so much of our loans, not in the Houston footprint and C&I too, that also helps us perhaps I am not seeing as much effect, but I think Houston has proven to be much more resilient even for banks that have a bigger footprint in Houston than certainly we did. As I mentioned on one of the slides, we now have over half of our loans that are outside the state of Texas and then the predominant amount of our loans in Texas tend to be North Texas and Central Texas oriented. Houston is growing rapidly and we are very proud of Houston. We think it will still be on a percentage basis, if not the highest growth percentage of all of our of five regions in Texas, it will be number one or number two again this year, but we have a small market share in Houston and that allows us to still grow quite nicely and thus far avoid any major problems.
Ebrahim Poonawala: Got it. And just as a follow-up, you recently announced a new senior hire coming from Wells Fargo to help on the energy and the SNC loans. Any sort of background on what led to that and why that move? I mean, I am assuming there is a lot going on sort of managing the energy book right now what was sort of the circumstances that led to this announcement?
Keith Cargill: That was entirely a function of the fellow that has built the business with us, whether it’s for, I guess, 14 years now and has run it the last 10 years, Chris Cowan. He is toyed with going into private equity for years and he believes he will make a lot of money with his timing of going in today. And I would not bet against him, particularly since he has really had a desire to do this for several years. So, it certainly had nothing to do with our deciding that we wanted to make a change. However, with Chris making that decision and working very well with us, very thoughtfully with us on transitioning appropriately, we were successful in hiring our number one candidate, Lester Keliher. Lester just could not be a better person to step in after Chris’ transitioning in the next couple of months. With his experience, he helped build the national business, energy business for Wells Fargo for the last couple of decades and he is very, very knowledgeable. This is not his first rodeo. He has been through many, many cycles. He is highly regarded by industry. And our clients have been extremely supportive and embraced Lester coming into this role. So, we were just very fortunate that we were able to attract him at a time when he had left banking a couple of years ago, he actually was doing some work for a very, very wealthy individual looking for distressed opportunities in energy to invest in. And he, like a couple of us, has started Texas Capital. He missed building a bank and being in a banking company that is regarded as highly as we are, particularly in the energy space. Lester has a great reputation and I think it’s a testament to what Chris has built and our credit team has helped to oversee as we built it that our energy talent is thought of so highly and our reputation is so good that Lester wanted to step in and lead that effort for us. He is also assuming the syndications business, which Chris had overseen as well as financial institutions.
Ebrahim Poonawala: Got it. Thank you very much for taking my questions.
Keith Cargill: You’re welcome.
Operator: The next question is from Dave Rochester, Deutsche Bank.
Dave Rochester: Good afternoon guys.
Keith Cargill: Good morning Dave.
Dave Rochester: On your expense guidance, it seems like you really needed a big step up in expense estimate to hit that mid to high-teens expense growth in 2016, is that really what you are expecting and if so, in what lines you are expecting that big bump up?
Peter Bartholow: Dave, so much of that has to do with the fact that it was all expenses in 2015, we are ramping up over the course of the year. We did have a full year of MCA expense in 2015. Obviously, there are other components regulatory and otherwise. But it’s really more geared to a run rate of mid to upper-teens off of fourth quarter and now first quarter annualized.
Dave Rochester: Got it.
Peter Bartholow: If you take that number and look at it relative to full year ‘15, that’s what you get.
Dave Rochester: Okay. And then I just want to make sure I heard this right, MCA becomes profitable on a monthly basis in 2Q, is that what you are saying?
Peter Bartholow: Correct.
Dave Rochester: Okay. And then on the provision outlook, I know next year is far off at this point, but do we have sort of thinking at all about extra reserving you might need to do once we hit the period where the hedges really start to roll off in a more meaningful way, I know that’s something you consider in the borrowing base re-determinations already, but does anything change once the current cash flows actually take a hit next year when that happens?
Keith Cargill: All that’s taken into account in our methodology, that’s how that’s driven. But and as we are going through the spring re-determinations, while we are not through that process yet, this will give you some indication of what we are seeing at least on the energy component going forward is we will probably see a shrinkage in commitments available to be drawn, Dave in the range of mid-20s relative to the re-determination last fall. So as you have seen in just the last quarter, our outstandings came down about 10% in energy. So as the energy portfolio and available outstanding – commitments to be drawn continue to come down with the pricing that we are looking at today at least. We would expect that the migration will continue but begin to taper. And as far as next year is concerned, I would say a lot has to do next year with just what the overall economy might be doing. And presuming that we continue to have some good housing demand and the overall economy is doing okay and we are not faced with a premature recession, I think we will see much more modest ability to provide. But it’s early to give you anything. I don’t think you are asking for any specificity around that. But our instincts are that next year will be more modest on provisioning.
Dave Rochester: Okay. And then how far along through that re-determination process are you this quarter?
Keith Cargill: We are about halfway through and that’s why I can at least give you a ballpark on the decrease and available to draw commitments, because at least I have a pretty good feel, it will be somewhere in the mid-20s is every indication halfway through. So it’s a couple of weeks away actually from getting ramped up. But I think you probably are going to hear that type of thing from other banks, if they are heavy E&P banks as we are.
Dave Rochester: Okay. And just switching gears to the NIM, you mentioned the decrease in loan fees impacted the NIM by 7 bps, I was just wondering how much more fee contribution there is in the margin in the first quarter and you mentioned that was seasonally lower, are you expecting that to rebound in 2Q?
Keith Cargill: Well, some of it is we are slowing the pace of growth in CRE and but it would still on odd quarter abnormally soft quarter because of the combination of a very strong fourth quarter in syndication deals it closed and CRE credits it closed. But CRE generally is going to be a more modest on new originations this year as we have been telegraphing for over a year and we are slowing the pace of growth. So we will still be growing CRE. And we will be replacing runoff with new credits that will have fees associated with it. The biggest impact this quarter was syndications and that is lumpy. It’s hard to predict quarter-by-quarter when syndications are going to close.
Dave Rochester: Got it. Okay. And then just one last one on MCA, can you just update us on the quality of that paper you are seeing in the legacy mortgage business as it relates to TRID, I know that was an issue that you talked about last quarter, is that paper quality improving and can you just update us on the fee income outlook for that business if that’s changed at all and the competitive dynamic there? Thanks.
Keith Cargill: Yes. Our clients are – have really navigated and figured out the TRID far better, that learning curve is really plateaued quite a bit. I want to emphasize the technology and filter that we have built on our system has been spectacular on catching any defects or glitches before it ever ends up owned by Texas Capital on the MCA business. And I mean we are betting virtually a thousand on how that system is working in regard to any defect and the clients like that is we are catching any defect before it actually ends up later in the securitization. And as you know, the mortgage client we have is the first ever put back risk, we would be secondary. So it’s not just good for the bank, it’s good for our client. But the TRID issue is working its way out.
Dave Rochester: So that just means more paper that MCA can effectively purchase, right?
Keith Cargill: That’s exactly right. The defect rate we see tapering.
Dave Rochester: Great. Alright. Thank you, guys.
Keith Cargill: You’re welcome.
Operator: The next question is from Michael Rose with Raymond James.
Michael Rose: Hi good afternoon guys. How are you?
Keith Cargill: Fine, how are you doing Michael.
Michael Rose: Good and I wanted to go back to the scenarios that you talked about last quarter for energy losses. If you remember, I think you guys said that you would expect energy losses to be somewhere in the $10 million to $15 million range. If oil prices remained at current levels in the 20 million to 30 million prices trended towards $20 a barrel, we are pretty far from those levels at this point, so can you provide any sort of a bit of update to how that might change with oil where it is and then if that actually trends higher in the back half of the year?
Keith Cargill: I think it’s more towards the second bracket, the $20 to $30 with prices that have adjusted since fourth quarter Michael. But that’s through cycle, not necessarily through ‘16. So we are talking about spillover before those charge-offs get realized in the next year.
Michael Rose: Okay. Because that would translate into kind of accumulated loss somewhere in the kind of 1% to 2.5% range, so is that still kind of a fair accumulated loss target given that dynamics to your portfolio and higher E&P exposure?
Keith Cargill: That’s our best visibility now.
Michael Rose: Okay. And then maybe just switching gears a little bit to kind of loan growth, you guys have done a pretty good job taking advantage of lending hires over the years and given the pullback that we are seeing some competitors in Houston, can you talk about how many lenders you might hire this quarter and maybe what the pipeline looks like? Thanks.
Keith Cargill: We actually had a slight contraction of a couple of people. And that is likely to change over the next few quarters in potentially a very nice way. I don’t mean back to record hiring levels that we have never had better talent in the pipeline that we have currently. And we are seeing it across the board C&I, but also in private wealth advisor talent. And so that’s coming also at a good time now that we have the platform up and really running well. It’s time to be and to add some more client advisors on that platform as well as on our C&I platform. So we are quite optimistic, but we are very disciplined over the last 1 year, 1.5 year. We were very thoughtful. We want to be sure, we get the starting lineup with the all-star team when we hired new bankers and we have been very fortunate in picking up the gentleman that we hired just in the last 45 days to run our franchise finance business. The top caliber having spent 11 years at GE Capital in this space and in the last couple of years at TD Bank. So he has all the experience and just fabulous talented fellow to come in and really lead that C&I effort that’s becoming a vertical. As you know, Michael over the years, we find these outsized opportunities and niches in our broad C&I book and then do some deep research and investigation on could this business be a sustainable high quality, high return for the risk taken category. And we have made that decision on franchise finance and we spent some time finding Brian that we are so glad we were patient and looked on a national basis for him. And when we have businesses like franchise finance, they are going to move beyond Texas and in the international footprint. We definitely are taking a look across the country at best talent and we have been successful attracting those people over the last 1.5 years. So, we feel good about the go forward on C&I growth.
Michael Rose: Okay, that’s helpful. And then just one last one for me, if you can help kind of reconcile the decline in non-accrual loans, obviously energy, non-accruals were up. What was the offset? I am sorry if I missed it.
Keith Cargill: It really was a credit to move from non-accrual into ORE. So, it was just a shift in category. That’s why NPAs were up 10. Although overall NPAs were up only 10 and energy NPAs were up more than that about 20, 21. We had some resolution of a non-performing asset, two actually, two payoffs with no loss.
Peter Bartholow: About pay-downs, yes.
Michael Rose: Alright. That’s it for me. Thanks, guys.
Keith Cargill: You are welcome.
Operator: Thank you. The next question is from Brad Milsaps at Sandler O’Neill.
Brad Milsaps: Hey, good afternoon guys.
Keith Cargill: Hello, Brad.
Brad Milsaps: Hey, just to follow-up on the expense question, Peter and then Keith you alluded to some of this with the hiring, but just kind of curious how much of that number if you know maybe $50 million some odd looks like to grow year-over-year. How much of that would be variable or is that pretty much kind of fixed expense that you expect to see kind of no matter what you do in terms of new hires or in terms of overall kind of hitting profitability goals, etcetera?
Peter Bartholow: Brad, it’s built around unit-driven plans for possible hires. And they don’t necessarily get to hire those people as part of the recruiting process. It gets reviewed basically at the senior executive level, whether they are going to qualify or not. So, there is always variability about what talent is available and what we are willing to take when it becomes available. The other part, the year-over-year is primarily an issue of MCA for their first full year of operation. We saw the biggest increases there in the third and really the end of the third and then through the fourth quarter gearing up for production in 2016. So, that’s why I say that the more relevant comparison in our view is what’s where we are today annualizing that level compared to the fourth quarter of 2016 – ‘15, I am sorry. So it comes out in the mid to upper teens on that basis.
Keith Cargill: And the MCA ramp on our extent is highly variable. As Peter said, that’s a unit growth production driven model. Any new hire we do before we extend an offer as Peter alluded to part of our organic growth recruiting strategy from day one, we really work with the prospect and have them develop a 2-year forecast what they think they can produce. And so again before we even hire an RM on the C&I side or wherever, we have a pretty good idea how that cost while it was somewhat front-end loaded the first 6 months, how we are going to recover that negative cash flow and capital for our shareholder and have a producer, term profitable, both on a cash flow basis and a net income basis within 12 to 18 months.
Brad Milsaps: Okay. And then just one follow-up on the deposit side, if we do get another Fed rate increase this year or whenever it may happen, would you expect that you would sort of absorb a similar amount in terms of deposit rates as you did with the December Fed rate increase or would you anticipate that might be a little higher or a little lower?
Peter Bartholow: It could be a little bit lower, Brad. Their deposit categories where we have an understanding with the depositor base that we will move in conjunction with the Fed rate moves. Those are less than obviously where we are on the movement in the loan balances. We also even with only one quarter’s increase, one quarter point increase, we have burned through a meaningful portion of the loans where there were limitations based on floors. So, we would expect the overall to improve slightly with the next one quarter point increase.
Brad Milsaps: Okay. Thank you, guys.
Peter Bartholow: Welcome.
Operator: The next question is from Kevin Fitzsimmons of Hovde Group.
Kevin Fitzsimmons: Hey, good evening guys.
Keith Cargill: Hello, Kevin.
Kevin Fitzsimmons: There has been a lot of talk on energy and I recognized the lumpiness that can come from SNC exam, but can you help us with how you view the regulators behavior or maybe how you perceive their behavior is going to be in the future? Because I think a lot of folks like us on the outside were looking at different banks, particularly larger banks that are regulated by the OCC like you all and they are getting put up at energy reserve ratios up in the 8%, 9% range. And I guess, what we are trying to get our arms around is, is there a risk as we look out a few quarters that the regulators could start pushing and then come to a conclusion or sending a message to that, hey, 5% looks below where the other banks are and we need you to take that up and is that something that is even out there as a risk for you all or is it something where they just don’t look at it that way? Thanks.
Keith Cargill: We don’t see that as a risk to us. We have a very good relationship with the regulators. And while they are evolving how they are giving guidance on classification and rating of energy credits, it’s not with our rationale. It’s just that we don’t have a lot of those credits, Kevin, that are most exposed to much higher reserve requirements under this new guidance. There have been some. And so from what we learned in the SNC exam, we have really endeavored to apply that new learning, that new guidance across the other non-SNC portfolio to the extent we have been able to work through much of that. And that has caused us to move some ratings, internal movement. And as we mentioned, the SNC exam out of all the credits that were reviewed, there were only four that were downgraded in the SNC exam. And so it wasn’t completely inconsequential, it’s about $70 million that was affected. But none of it involves charge-off and we have not experienced any irrational behavior by the regulators at all. We think they worked really quite closely with industry with the banks on learning how we risk and underwrite credit in the space, but it’s evolving some and we have just made that adjustment to understand where they are going. We think we have addressed where they are going not just where they might go. And there should not be this big forward risk of us having to move from a 5% type reserve to something meaningfully higher. We don’t have that kind of risk in our portfolio that would cause that even under the new guidelines.
Kevin Fitzsimmons: Okay, great. That’s helpful. Just one additional follow-up just on the capital level and the capital cushion and your comfort there, the TCE ratio ticked down this quarter, but you are still intending to grow the balance sheet. Just trying to get a sense for your comfort with that level or whether you are looking at potentially pulling back the range a little bit on the growth given where that ratio stands today? Thanks.
Peter Bartholow: So much of that ratio, Kevin, is driven by the $1.3 billion surge at quarter end in the warehouse. And I think we have made clear, no one would be – no one would rationally build capital to support something that’s going to dissipate in the next 10 or 12 days. So, we look at it very carefully on an average basis where the average is moving whether that would change our risk profile in anyway that would suggest the capital would be needed. And except for the outsized effect of the provision for loan loss, we are actually contemplating growing within the ROE. And that is our view going forward in 2016. We saw linked quarter growth of just 2% in average balances and traditional held for investment loans and a little under that in the total loans. So, we are living within what we believe is a reasonable rate of growth relative to our return on equity.
Keith Cargill: The number I mentioned earlier, I am sorry, Peter to interrupt.
Peter Bartholow: And then all of that is planned based on our view of exposure in out years not in 2016 and hopefully not in all ‘17 or ‘18, but to the possibility there will be a recession in the coming years. And then our focus on CRE and obviously, the reduction in energy exposure is driven by those issues, not by a change in what we think is the opportunity in our marketplace.
Keith Cargill: The linked quarter growth I mentioned was the 3% and that’s period-to-period in. So that just says we have got a lot of wind in our sales going into the second quarter. But Peter’s number of 2% was the average for the quarter. What we have to work with and we feel quite good that with that our highest growth asset category is going to be at the most efficient capital consumption level we have ever experienced with the new MCA business. So that’s going to help us, too.
Kevin Fitzsimmons: Got it. Those are all fair points. And one last one, just I took note that you had a comment about that a little more than 50% of your loans are now outside Texas. When you look long-term and taken into account what we have gone through here the past year or 2 years with energy, is that something where you are comfortable where that is today or do you think longer term, as good of a market and robust as the market Texas has been that you would aim to take that ratio up or you are just comfortable where it is today?
Keith Cargill: We are very comfortable where it is today. We think long-term that Texas economy provides phenomenal upside growth for us just in the five cities we are located in. Those five cities where we do business, still account for almost 80% of the targeted clients we go after for business – these business clients. And we have a very tiny market share even with the growth we have experienced in the last 18 years. So we would be extremely comfortable at this kind of level. But we sometimes find when we do things exceedingly well with an industry that, that where it travels. And as we follow our clients and attend trade shows, conventions for their industry with then and they introduce us to other CEOs, is not a casual introduction. They are just enthusiastic about the differentiated much better high-tech service and knowledge that our bankers have and the low turnover and on and on. And that sometimes has created for us the capability to take a national footprint. But we have accomplished the geographic diversification we thought was important over the last few years and we have been entirely fine with this kind of mix as we go forward. We will just have to see where the best return for the risk that we are willing to accept exists, is it in the national footprint and a new vertical or an existing vertical or is it in Texas?
Kevin Fitzsimmons: Great. Thank you.
Keith Cargill: You’re welcome.
Operator: The next question comes from Steve Moss with Evercore ISI.
Steve Moss: Good afternoon guys.
Keith Cargill: Hello Steve.
Steve Moss: I wanted to ask just wondering how much of this quarter’s loan loss provision was from the application of the new regulatory guidance?
Keith Cargill: It’s hard to give a specific breakdown some of it, not as much of it as the price shift. So if I had to pick, I would say probably two-thirds to 70% was the price shift and maybe 25%, 30% was the application of the new learning that took place on regulatory guidelines for the SNC exam that we have now extended across our portfolio, most of the portfolio. We are working through it.
Steve Moss: Got it. In terms of the energy charge-offs you experienced this quarter, just wondering if you can give us some additional color as to what went on there?
Keith Cargill: We had two credits and they reached a point on liquidity and being outside the borrowing base, it was incumbent on us to take the charges. And even though we are not having the implosions that you might experience with energy service, some of these E&P companies are really fatigue and there are going to be some charge-offs that occur. Now I would tell you that because of the E&P companies we have a prospect in many cases of recovering that money over time. But if it hits a past due status and their over borrowing base for a long enough period of time, it’s incumbent on us to take the charge. One of the credits involved a field that shutdown. So we just know cash flow that we could look to realistically get that payback in full.
Steve Moss: Got it. And kind of wondering what was the charge-off rate or loss rate on those credits?
Keith Cargill: On those specific two credits?
Steve Moss: Yes.
Keith Cargill: I can’t say right off. It would be significant, I would estimate close to half, even more, more than half. I am getting a signal hear from our Chief Risk Officer, more than that. So it could be 60%, 70%. Those are going to occur from time-to-time. But generally, there are better ways to navigate. But they are going to have to have the ability to find buyers for part of their properties and shrink their gap on the borrowing base, being out of compliance on the borrowing base and buy more time to generate liquidity through the sale of some of those assets. And in this case, they weren’t able to do that with the field shutting down.
Steve Moss: Okay. And also...
Keith Cargill: I got some specifics. One was 75% and the other was 55%.
Steve Moss: Okay. And wondering just, what was the hedge position of your energy clients at this point?
Keith Cargill: I am sorry I didn’t hear you on that.
Steve Moss: What was the hedge position of your clients at this point, what percent of production was hedged?
Keith Cargill: We are at about 50% through the balance of the year on average hedged. It’s bleeding down as time ticks off, but that’s very close.
Steve Moss: Okay. And then lastly just wondering on deposit pricing here, it seems like deposits re-priced a bit faster than what we have seen from other banks this quarter, I am wondering if some of those deposits are indexed by chance?
Peter Bartholow: No. As I have said a minute ago Steve, we have a couple of deposit categories. And I will mention one in particular, money market accounts from our downstream correspondent bank. Those banks agreed to lead deposits with us, provided we will pay a small increment, leave it with us for a long period of time if we will pay the small increment to the Fed funds rate. But that category by itself moves. But then we saw no meaningful movement in DDA balances or any other categories that are really the core of our asset sensitivity.
Steve Moss: Okay, got it. Thank you very much.
Keith Cargill: You’re welcome.
Operator: The next question is from Emlen Harmon at Jefferies.
Emlen Harmon: Hi guys. Good evening.
Keith Cargill: Hello Emlen.
Emlen Harmon: Just a couple of small follow-ups at this point, loan fees had a negative effect on the NII this quarter, could you give us a sense of what portion of NII is still tied to loan fees and just kind of what the characteristics of the loans were that drove the lower fee income?
Peter Bartholow: Yes. It’s just the lack of, it’s just the timing as Keith mentioned of variability and timing on SNC, not SNC fees, on syndication fees. Typically, they are going to run 10 basis points to 12 basis points quarter in, quarter out. In this quarter, they were down. So it’s unusual for us to have a movement of that size, but we do get monthly and quarterly movements that tend to average out at 10 basis points to 12 basis points to the good. I mean, as net pluses to NIM.
Keith Cargill: This was a particularly odd quarter. I think it’s the weakest quarter we have had in 2 years on loan fees. So we don’t expect that to repeat itself. But it just so happened that the timing was off on syndications. And there is some amount of that as I mentioned before, we are not going to be originating at the same pace in the CRE loans, but we will be replacing run off and we are still going to grow CRE just not at the pace we did 1 year or 2 years ago. We are just tapering the growth rate.
Emlen Harmon: Got it, okay. Thanks. And then just comparing that SNC portfolio versus your non-SNC portfolio, what is the distribution of the credit grades look like, the stuff that SNC, is that higher along the greatest scale versus the rest of the book or just trying to get a sense of the differences there.
Keith Cargill: Excluding energy, yes. And even within the overall energy portfolio, SNC versus non, yes.
Emlen Harmon: So yes, you are saying that they are evenly distributed?
Keith Cargill: On average, yes, the larger companies more typically.
Peter Bartholow: Relatively more criticized into that energy.
Keith Cargill: Energy got more criticism in the SNCs, because there is some of this junior debt and the new guidance from the regulators. But as far as the overall SNC book, particularly the non-energy, it’s going to be a better grade on average than our overall C&I, our overall CRE and so on. But the SNCs and energy are getting more criticism because of again the new look at overall debt, not just your senior debt position in coverage, but the new guidelines from the regulators look at total debt and the ability to repay total debt.
Peter Bartholow: Including commitments whether or not they can be drawn upon re-determination.
Emlen Harmon: Right. Okay, got it. So to summarize, the energy SNC book typically higher on the grading scale because of more leverage at the credits, the non-energy SNC book tends to be better graded?
Keith Cargill: That’s right. And by the way, I am not saying because the energy SNCs are getting more criticism, they will lose more money there, but they are going to drive more provisioning and reserve if the ratings are more critical ratings with this new approach. We will have to see how that plays out, but we feel very comfortable with our senior position in most all of our SNC energy credits. So ultimately get paid, but you are going to have these rating classification issues and that does drive more reserve, more provisioning.
Emlen Harmon: Okay, thank you.
Keith Cargill: You are welcome.
Operator: Our next question is from John Moran at Macquarie.
John Moran: Hi. Hey, how is it going?
Keith Cargill: Doing well. How are you doing?
John Moran: I am doing well. Keith, I have got two kind of housekeeping ones and then one more just back on TRID. The Houston builder finance book I think last quarter was around $350 million where does that stand today?
Keith Cargill: Slightly smaller. That business has been very, very strong and the quality is still quite good. But the builder community in Houston has really begun to throttle back their building programs anticipating slower demand. Last year, the demand was phenomenal. It was strong on new housing closings. It was as strong as the year preceding, which was remarkable. But again they are not pushing the chips in the middle of the table to do it this year. They are being more modest and thoughtful about new growth. And so that’s affecting our book down there and it’s not growing at that pace it has. It’s tapered.
John Moran: Okay, fair enough. And then the other kind of housekeeping one for me was the credit move down to OREO, what was the nature of that property and the location? I mean, it was not in Houston, we can tell that from the slide that you guys have on the Houston CRE, but if you can give us any more on that?
Keith Cargill: Yes, it’s San Antonio.
John Moran: Okay. Was it multi-fam or office or?
Keith Cargill: It’s commercial office, medical office.
John Moran: Medical? Okay.
Keith Cargill: Yes, medical, healthcare.
John Moran: Okay, got it. And then just circling back on TRID, I know you said in MCA, you guys are batting like 1,000. There was news that kind of went around some of the mortgage industry press about a large mortgage company, W.J. Bradley that sort of shutdown shop over, I guess, TRID compliance issues. Wondering if you guys in fact had exposure there? And there was I guess, there were several reports that you would take in jumbos or lenders have taken jumbos and sold them off scratch and then if that had happened was that completed in this quarter or is that still kind of outstanding?
Keith Cargill: There is a lot of misinformation that’s been put out about what’s happened there. At the end of the day, we are dealing with a couple of issues. It’s not unique. We have done this multiple times. And in every instance, we have been able to resolve it with no loss and we wouldn’t expect the different outcome in this case, but it really hasn’t been represented all that accurately in some of the media coverage on, Bradley. There actually was a buyout that precipitated some of the decision later for them to wind it down, not so much the TRID issue.
John Moran: Got it. But I guess is there exposure there, number one. And then number two, if in fact, there is jumbos that need to be sold scratching, has that sale been competed and reflected in this quarter’s results?
Keith Cargill: As I said, John, we have dealt with these multiple times, similar situations and we have always resolved them without loss. And we would expect the same in this case. Yes, I really don’t want to talk in detail about any client relationship issue, but no, we don’t expect to incur any kind of hit on this.
John Moran: Okay, understood and appreciate that. Thanks.
Keith Cargill: You are welcome. Certainly.
Operator: Next question is from Gary Tenner at D.A. Davidson. Mr. Tenner? Okay. We will move on to Jennifer Demba at SunTrust.
Jennifer Demba: Thanks. On the franchise lending operation, what kind of balances do you or what kind of potential do you think that this business had in terms of balances for you over the next 1 year to 2 years?
Keith Cargill: I think there is excellent potential. Really it’s initially going to be the focus of Brian to fully exploit our existing RMs, Jennifer, in Texas, in the different markets and bringing in high quality franchisee operators and teaching them how to underwrite and make sure we use a common template working with credit and Brian both so that we can get the penetration improved in the five cities we operate in here in Texas. But ultimately, Brian has run a national footprint operation and franchise finance. So in future years, after he is initially focused more on our RMs that are here in Texas and getting them up to curve, we think it could grow very nicely. I think – we think it could move the needle. It could be a $50 million to $150 million a year growth engine, but we have got a walk before and that’s why he is focused initially on existing RMs that we have on the payroll in Texas. Over time, he will begin to add people in other parts of the country as well.
Peter Bartholow: Jennifer, this is Peter. We do have meaningful experience in this business. We are not just all of a sudden deciding that franchise lending is a good way to grow.
Keith Cargill: As I mentioned earlier, this is typical Texas Capital. And our broad C&I portfolio, we find niches that we do really well at and then we do the deep dive research and diligence to determine if we should make it a vertical and then as the appropriate additional talent and know-how, both on the credit side and also the production side, to grow at an even faster rate in that vertical. And we have over $0.25 billion in franchise today. So as Peter said, we understand the space, it’s something we have done for over a decade.
Jennifer Demba: Thank you.
Keith Cargill: You’re welcome.
Operator: The next question is from Brett Rabatin at Piper Jaffray.
Brett Rabatin: Hi, good afternoon. I think most of them are addressed. But I just want to go back to thinking about MCA and you guys have kind of indicated that the market has been too competitive, I was just curious for an update maybe on how you view it, what we are seeing so far this quarter with mortgage sourcing rights, write-downs and other things happening that might help you guys?
Keith Cargill: In fact, what you just described is beginning to help. We are seeing some good traction now, Brett. We have had some really good conversion of existing clients that have been long-term mortgage warehouse clients and we are beginning to add that next year as direct clients that are primarily MCA clients that some of whom will eventually find their way into the mortgage warehouse space with this as well. So we are encouraged and on plan. But what you have mentioned is in fact helping us. It’s not as irrational as it was four months to six months ago, because there has been a little bump in the night, in the MSR. So everybody is a little more thoughtful about what they will pay and the market is getting somewhat more rational.
Brett Rabatin: Would you give a number from a basis point perspective of what the dynamic has changed over the past few months maybe?
Keith Cargill: I don’t have that detail to offer. But I am sitting on some of the meetings at a higher level, it’s again we are getting traction, we are driving significant new client acquisition and the volume of paper is improving as we had hoped. So it seems to be on track as we mentioned earlier. We would expect at sometime this quarter, it may be June, it may be May that division should turn profitable.
Brett Rabatin: Okay, great. I appreciate the color. Thank you.
Keith Cargill: You’re welcome.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Keith Cargill for closing remarks.
Keith Cargill: Thank you very much. We appreciate your interest in Texas Capital and look forward to delivering the finest results we possibly can as in the upcoming quarter and balance of the year. Thank you.
Operator: Conference has now concluded. Thank you for attending today’s presentation. If you have any follow-up questions you may contact Heather Worley by phone at 214-932-6646 or e-mail heather.worley@texascapitalbank.com. Thank you for attending. You may now disconnect.